Operator: Welcome to the FEMSA's First Quarter 2025 Results Conference Call. My name is Ellen and I'll be your coordinator for today's event. Please note, this call is being recorded and for the duration, your lines will be on listen-only. However, you will have the opportunity to ask questions at the end. [Operator Instructions] I will now hand you over to your host, Juan Fonseca to begin first. Thank you.
Juan Fonseca: Thank you. Good morning, everyone. Welcome to FEMSA's first quarter 2025 results conference call. Today, we are joined by Jose Antonio Fernandez Garza-Laguera, CEO of our Proximity and Health Division; Martin Arias, our CFO; and Jorge Collazo, who heads Coca-Cola FEMSA's Investor Relations team. The plan for today is for Jose to open the conversation with some comments on the performance of the business during the first quarter, particularly at Proximity Americas and then to provide a quick update of our retail portfolio. After Jose's remarks, Martin will provide more detail on our quarterly results. Finally, we will open the call for your questions. Jose, please go ahead.
Jose Antonio Fernandez Carbajal: Thank you, Juan. Good morning, everyone. During the first quarter, FEMSA was able to navigate a challenging environment across several markets, particularly in Mexico taking advantage of its resilient geographically diversified business platform. Within Proximity and Health, however, Mexico is by far the biggest component and the division results will inevitably reflect whatever is happening in these core markets. Our results for the first quarter reflect a challenging set of headwinds particularly in Proximity Americas. Combining a persistently soft consumer environment in Mexico with a tough calendar setup and against a demanding comparison base. Therefore, I would like for my remarks today to provide you with three things. First, our assessment of the causes of the underwhelming numbers, particularly related to same-store traffic in OXXO Mexico. Second, an overview of some of the actions we're taking to offset or mitigate the impact in Mexico. And finally, our expectations for the remainder of the year, including what we foresee will be a better second half in Mexico that should help us deliver a solid full year result despite the slow start. After that, we will give you an update on the rest of the operations. During the first quarter, same-store sales for Proximity Americas contracted by 1.8% with average ticket growing 5.1%, slightly ahead of inflation, but average traffic contracting 6.6%, continuing a trend that has been in place for several quarters. The calendar effects are straightforward, which had one day left in February and the entire whole week shifted to the second quarter. this year. Adjusting for those differences, we estimate that same-store sales would have been flat. Beyond that, there is an undeniable weakness in the consumer environment that first manifested itself around the middle of last year just after the election and consistent with previous electoral years. Moreover, the ongoing uncertainty around trade with the US has exacerbated what we already expected would be a slow start to the year due to the postponement of many investment decisions until greater clarity is achieved. Other negative traffic drivers include a particularly colder month of January impacting high traffic categories such as alcoholic and non-alcoholic beverages, cigarettes and snacks as well as certain localized markets where consumers have reduced their movement outside the home after certain hours as a response to a heightened perception of risk. Finally, in terms of channel dynamics, we continue to see the traditional trade gradually recover some of the market share it lost to modern channels during the COVID pandemic. Historically, the traditional trade has done better in economic slowdown as people cut down on impulse buys and seeked a smaller price point SKUs of this channel. As a result of the consumer environment and consistent with what we have seen in similar downturns in the past, some of the TPG suppliers are adjusting their package strategy accordingly. For example, increasing the availability of smaller price point, multi-serve and returnable presentations that are also well suited for the traditional trade. However, we do not have any clear evidence that other channels may be gaining competitiveness relative to OXXO and our reading to date is that the majority of the slowdown is attributable to factors outside of our control, such as the macro environment, weather and calendar effect and consistent with untapped figures for other channels. And this is a good segue to move on and discuss some of the actions we're taking. We have launched several commercial and cost initiatives with three clear objectives, one, to drive traffic and top line, two, to maintain our positive trajectory of gross margin expansion, and three, cost containment initiatives to ensure the leanest organization possible while not mortgaging our future by cutting transformational initiatives. Within the top line initiatives, we should highlight our push for increased affordability across categories working in tandem with our key supplier partners. These initiatives aim to expand our assortment to include more affordable brands and presentations, including in key categories like tobacco, soft drinks, beer, spirits and healthy snacks. We have launched targeted plans to reactivate the andatti coffee offering and to support the beer and soft drink categories, including returnable multi-serves. Furthermore, we continue to increase the breadth of our financial services and correspondent partnerships with banks and fintechs while also increasingly leveraging the insights from our Spin Premia loyalty program to improve the effectiveness of our promotions. And this connects with our efforts to drive profitability at the gross margin level as we keep working with our supply partners to find incremental value through the precise execution of more targeted promotions. On this front, as you saw in our results, a bright spot at Proximity Americas was once again the continued margin expansion at the gross level. As we look at the pipeline of commercial collaboration we see in the months ahead, we are optimistic that we can continue to drive these metrics higher. There are several important negotiations underway in key categories that we expect to provide us with continued tailwind at the gross margin level. Further down the income statement, we again faced pressure from another low double-digit increase in the minimum wage as well as a loss of operating leverage from the soft traffic trends and the incorporation of the results from the lower margin DK operation in the US. We also maintained our pace of store base expansion and capability building activities. In an effort to offset rising expenses, we have made great strides reducing the FTE or full time equivalent per store, generating real efficiencies at scale as well as a reduction in overheads. Despite these efforts, we saw a swing from an expansion of 120 basis points at the gross level to a contraction of similar magnitude at the operating level. I have asked all of our operations to drill into overhead expenses where I think opportunities to be a leaner and more effective organization. And that brings me to the general outlook for the remainder of the year. Based on our projections, we believe we will see a sequential improvement in top line dynamics beginning in the second quarter and peaking for the year during the third quarter. Such improvement is partly within our control through the of all the commercial and cost control initiatives I just described and partly outside of our control requiring economic activity and consumer sentiment in Mexico to gradually pick up. Therefore, at the slow start, our base case expectation for the full year remains for a high single-digit increase in revenues with stable operating margins relative to 2024. Moving on, let me give you a brief update on some of our other formats and markets that we know are top of mind for investors. In the US, we continue our testing and experimentation as we advance in the definition of our optimal value proposition for this market. As you may remember from our last call, we have already started the first conversion of some of the DK stores into OXXO. Back in February, we announced the first one and since then, we have reached 15 OXXO units, all of them in the Midland Odesa Metro area in West Texas. While consumer reaction to the rebranding has been very positive, there is a lot of work to be done as we close the value proposition gaps, including in the key prepared food categories. On that front, we have already made progress bringing the andatti coffee offering from our Mexico operations and we are testing improved food offerings in approximately 20% of the store base. The OXXO Mexico team is also sharing with the US team some of its expert capabilities such as pricing, assortment and segmentation and there is more to come. Again, very early days and we will keep you posted on our progress there. In Brazil, we continue to make progress reducing shrinkage and employee turnover, which have been two areas of operational focus in recent quarters. We continue to see the brand and value proposition grow in consumer preference and our expansion plans for this year are unchanged with approximately 100 new OXXOs in the state of Sao Paulo. At Bara, we had a good start to the year in terms of store base expansion adding roughly twice as many stores during the quarter compared to last year and on track to add approximately 235 net new stores in 2025. We recently opened a new distribution center in Queretaro and we're making progress as we set up our second region in Northern Mexico while also advancing as we develop and grow the supplier network for our key private label. In Europe, Valora's results show solid growth in Mexican pesos given the meaningful weakening of the peso against European currencies year-on-year, but on a comparable basis, the numbers are sluggish. We see positive trends in retail supported by certain categories like tobacco and from a growing commercial income platform. However, B2B service is lapping a very difficult comparison base from the successful one time pretzel project we executed last year with. We continue to work to improve traffic to B2C foodservice, which is somewhat dependent on German economic growth. And on the retail front, in the coming months, we expect to rebrand a meaningful number of our DV stores in German train stations to our successful AVEK banner, which over time should help us in our organic growth efforts as the AVEK brand becomes better known in Germany. At OXXO Gas, we did well in the first-quarter, but in the coming quarters, we will be increasing headwinds from the voluntary price commitments we have put in place for regular unleaded gasoline together with the rest of the industry in Mexico. And finally, at FEMSA Health, we saw improving operational trends across most markets except Mexico helped by the positive impact of FX as was the case in Europe. The brightest spot continues to be our retail operation in Colombia, but results out of Chile and Ecuador were also solid. For its part, Mexico is in full operational turnaround mode, including a meaningful resizing as we rationalize the store base and continue to fine tune the valuation of our two format strategies. Expect further news on this front as the new management team completes its work of getting up to speed and fine tuning the new strategies. Wrapping up, we would like to leave you with a message that even the though the start of the year was low in the core Proximity Americas business, based on the information we have today, our expectation remains that the numbers will improve as we go through the year positioning us well to deliver another solid set of results for the full year of 2025. And with that, I will now turn the call over to Martin to discuss FEMSA first quarter results. Martin, please go ahead.
Martin Arias: Thank you, Jose. Good morning, everyone, and thank you for joining us today. As you have seen in our press release, we've added a column to the various income statements representing comparable figures to help you isolate the effects of currency fluctuations as well as acquisitions. We are using the same definitions and following the same methodology used for many years like Coca-Cola FEMSA in their own disclosure, which will surely be familiar to many of you. Hopefully, you will find this information useful. Let me begin with census consolidated financial and operational results for the first quarter of 2025. Total revenues increased 11.1%, while operating income grew 4.9% year-over-year reflecting mixed results from our business units as several of them faced a challenged macroeconomic backdrop and softer consumer demand in our key Mexican market as well as unfavorable calendar effects throughout our businesses. On a comparable basis, total revenues and operating income grew by 5.6% and 1.7%, respectively, evidencing the currency tailwinds, which helped us this quarter. Net consolidated income increased 54.3% to MXN8.9 billion mainly driven by, one, a MXN630 million increase in income from operations, two, a MXN3 billion increase in the other financial income related to net foreign exchange gains and gains in our financial instruments mainly as a result of an increase in the price of our remaining Heineken shares, and three, a MXN2.4 billion increase in net income from discontinued operations driven by a gain from the sale of PTM. All of this despite interest expense, higher interest expense and income taxes as we have explained in our earnings release. Moving to the operations. I will try to be brief, so as not to repeat most of what Jose already touched on. Proximity Americas delivered a 6.8% or 1.4% on a comparable basis increase in total revenues and 11.8% decline or 11% on a comparable basis in income from operations. The decline in operating income reflects soft top line growth accompanied with a solid gross margin expansion, however, offset by higher operating expenses resulting from increased labor costs, continued investment in transformational initiatives and reduced operating leverage. As Jose mentioned, we are implementing a series of top line growth and cost containment initiatives, which we expect to bear fruit in the second half of the year ideally among with the reactivation of the Mexican economy. On the expansion front, OXXO Mexico opened 361 net new stores during the first quarter, a good start to the year, while net additions reached 31 in Colombia and 21 in Brazil through our Grupo Nos joint venture. Now turning to Proximity Europe. Revenues increased 18% in plaintiff terms or 1% on a comparable basis. Gross profits rose 14.8% in pesos, but declined 1.9% on a currency neutral basis resulting in a margin contraction of 110 basis points primarily due to softer performance in the higher margin B2B foodservice segment and flat results in the other businesses. At the operating level, Valora reported a 14.6% decrease in income from operations or 27.7% on a comparable basis, reflecting a 90 basis point margin contraction, reflecting the impact of the weaker higher margin B2B performance against a very demanding comparison basis. The Health division delivered revenue growth of 21% in pesos or 7% on a comparable basis. Colombia had a stellar performance, while Ecuador and Chile had solid results driving division's momentum for the quarter. In contrast, Mexico remained challenging, but we have begun the process of closing underperforming stores, which we expect to total in excess of 400 by the end of the year. Operating income rose 27.4% or 11.7% on a comparable basis with the margin expanding by 20 basis points to 3.5%, particularly reflecting the solid growth in the retail segment in Colombia and solid performance from Chile and Ecuador. Shifting to spend. We are executing against our vision to build an omnichannel ecosystem anchored in customer engagement, loyalty, data-driven innovation and financial services. Spin by OXXO continues to gain traction with our active user base showing double-digit growth year-over-year to 8.9 million active users. We are also seeing increased modernization through a higher number of transactions. The Spin Premia loyalty program is expanding its relevance. Now linked to 42.5% of OXXO Mexico sales and becoming an important lever for engagement reaching 25.2 million active users, an increase of 16.1% compared to last year. As we continue to grow, our focus is shifting towards improving unit economics, using advanced analytics to refine our offering and drive incremental value across the system. Lastly, Coca-Cola FEMSA delivered another solid quarter underscoring the strength of its diversified portfolio, geographic footprint and disciplined operating model. Despite soft volume trends in Mexico, this was largely offset by growth in Brazil and certain other markets. Top line grew by 10% or 5.9% on a comparable basis supported by revenue growth management initiatives, while income from operations grew at a slightly slower pace of 7.4% or 3.2% on a comparable basis reflecting mostly higher distribution expenses. The team remains focused on protecting profitability through ongoing efficiency initiatives and by leveraging its proven execution capabilities. As always, we invite you to refer to Coca-Cola FEMSA's earnings call webcast for further details. Before closing, let me briefly update you on our capital allocation strategy. As we announced last February, we remain fully committed to balancing disciplined reinvestment in our core businesses while maximizing returns to shareholders as we advance towards our target leverage. During the first quarter, we deployed MXN8.8 billion in capex, representing approximately 4.5% of total revenues with a continued focus on expanding our retail footprint and strengthening our supply chain infrastructure. Regarding the return of capital to shareholders, in the first quarter, we repurchased approximately MXN1.3 billion pesos of FEMSA BD units in the local market. We also paid in January the last installment of last year's declared ordinary and extraordinary dividends for a total amount of MXN6.1 billion or nearly $300 million. Additionally, last Friday, we distributed the first quarterly installment for both the ordinary and extraordinary dividends for 2025 for a total amount of nearly MXN12 billion or approximately $610 million at current exchange rates as approved by our recent annual shareholders' meeting. The total amount allocated for shareholder returns from March 2024 to March 2025 including both extraordinary and external distribution amounts is MXN44.8 billion or around $2.5 billion. For the period from March 2025 to March 2026, we have committed to returning MXN66 billion or nearly $3.2 billion at current exchange rates. Looking ahead, we remain optimistic about the opportunities ahead. And while we acknowledge that this year presents somewhat of an uphill battle, the first quarter usually is our least important quarter. As the macroeconomic and competitive environment continues to evolve, we are confident in our strategy, our team and the resilience of our diversified portfolio and trust our results will revert back to the long-term growth trajectory as they have always done. As we move forward, our focus will remain on disciplined execution to deliver solid results for the rest of the year and beyond. And with that, we will now open the call for questions. Operator, please go ahead.
Operator: [Operator Instructions] We will take our first question from Tiago Bortoluci, Goldman Sachs. Your line is open. Please go ahead.
Tiago Bortoluci: Yes. Hi, good morning, everyone. Jose, Martin, Juan, thank you very much for the call and the opportunity of talking to you guys. Always a pleasure. I would like to explore a little bit more the momentum for Proximity Americas particularly Mexico, right? Jose, the initial remarks that you shared were super helpful, but double clicking into those. I think the first point I would love to hear from you is what's your feeling regarding traffic share, right? You alluded to ANTAD, but obviously, we can imply necessarily how much traffic has moved there. But I think it's fair to assume OXXO has apparently lost some traffic share in the quarter, right? So just to understand if this is your reading and if you have a clear view on to who you are losing this and what are the efforts to address. This is number one. And the number two, you mentioned this been the fourth quarter in a row that you are declining traffic, right? Does this trend change at all your appetite for further growth or the projections for the returns on of these new stores that you're opening in the region? And then finally, at the third point within this Proximity debate, mix has been an important source of compensation at the gross margin, right? Could you please give us the ballpark how your mix has evolved over the last few years? More curious to see how much financial services and commercial income penetration you have there and potentially to where you believe this could get over the next two years? Those are the questions. Thank you very much.
Jose Antonio Fernandez Carbajal: Tiago, thank you very much. Very spot on question and a lot of color to address on these things. So I would say first, on the traffic issue, the biggest impact that we see are the calendar effects particularly obviously the loss of the holy week or the shift of the holy week to the second quarter, the very cold weather in the North of Mexico in January and the broader economy. And so those are what we think are the biggest drivers of traffic slowdown. And we see it because we saw how in January we were grading in hot beverages and we were very soft on cold beverages. And I mean, it's very particular to what happens when we have a colder than expected January. If you look at share, we've been monitoring closely our meals and measurements of share. And what we call the modern trade or the convenience modern trade OXXO, the OXXO channel, we lose marginal market share, but on the low single percentage of single-digits. So it's very granular. But we do see a gain in share from the traditional trade. And then if you look at the six regions that Nielsen measures, 80% of our market loss decline is in the Pacific region, which is a region that includes all the way to Tijuana to Nayarit going through Sinaloa and the Northeast region, which includes all the way from Chihuahua to Tamaulipas. So basically the North of Mexico is 80% of our share loss and those are regions that where other channels like the hard discount channels are not really present. So it's really the traditional trade that took again and we see a much bigger share loss from the modern trade -- non-convenience and the modern trade out to servicio and losing much more share than us. So that's where I think...
Martin Arias: We are covering some of…
Jose Antonio Fernandez Carbajal: Yeah. And that's where we see the biggest share. So I'm not too concerned about other channels gaining on us. And then if you look at categories where we're losing share and the traditional trade is gaining share, the biggest driver is tobacco. And that is obviously a concern for me because I do see a shift towards tobacco on a per single deployment. We are not allowed to do that in OXXO, but the traditional trade can sell on a per cigarette basis and also a lower priced tobacco products, even some tobacco products that are without all its proper customs are paid in. So that is something I'm concerned with. We are working with our suppliers to launch some value brands in tobacco and what we're impressed, we've already launched a brand with our help of one of our big tobacco players. And we did see a huge increase in traffic and not a lot of shift from higher value brands to the value brands. We're just getting incremental traffic from people that are all already into the value brands of tobacco. So I'm not too concerned about traffic from other channels. That doesn't mean we're not doing the best we can to increase traffic in value or affordability presentations. And I do think there's a huge opportunity for OXXO to do execute even better the beer value brand categories in soft drinks go back to affordability and returnability packages. We have a huge campaign with our beer suppliers to drive growth there. So I'm positive that we're going to be able to drive growth. In the store expansion front, I'm still seeing huge opportunities for us to grow. And so that's why we're not very aggressive on declining the number of store expansions. We're very aggressive on measuring the quality of the stores we're opening. We're really prioritizing quality over hitting a number per region. We see -- obviously, there's going to be some cannibalization as we continue to grow, but it's still very profitable return on invested numbers and we still see a huge opportunity for us to expand. So I'm not seeing a decline yet, but much more discipline and incentivizing the regions towards quality of the stores we're opening. And finally, I would say financial services is a category that's still growing. It's growing mid-single-digit. It's helping us. We're growing with all these fintech initiatives with a lot of alternative payments. Some of these e-commerce sites, people are really using OXXO Pay to do their payments and we're growing a lot there. And we are growing a lot in the using OXXO as an APM machine, basically going with your debit card or with your fintech credit card and going for cash. And that's a big growth segment and we still see that as a huge growth opportunity and it's going to keep growing as we increase the number of players that we led into the OXXO Pay network. I would also say, obviously, the OXXO income or retail media things have -- it's just getting started and has huge opportunity to keep growing. We are seeing a lot of excitement from our player of our -- from our key suppliers to use the Spin Premia information to expand. And we see a huge opportunity still for gross margin expansion from retail media, from services and from promotional income that we still see a lot of opportunities.
Martin Arias: I think I would add, Tiago, to what Jose just said. I mean, the way you framed the question about mix. Certainly, financial services and commercial income, I mean, I'm surprised myself at how quarter after quarter, year after year, we continue to talk about these two drivers. And then, of course, you look at where the gross margin is and kind of in the mid 40s and fourth quarter of last year, we almost approached 50%. So it's been completely incremental to -- we've added the number of SKUs. We've strengthened and enriched the mix of actual merchandise, but there's no question that financial services and commercial income have been doing a lot of heavy lifting in terms of the margin performance. And I think that's fantastic, right, because to Jose's comment a few moments ago, it looks like certainly on the commercial income front, we think there's a lot more where that came from.
Tiago Bortoluci: This is super helpful. Thank you very much, both. Appreciate it.
Jose Antonio Fernandez Carbajal: Thank you, Tiago.
Operator: We will take our next question from Ben Theurer, Barclays. Your line is open. Please go ahead.
Ben Theurer: Yeah, good morning and thank you very much for taking my question. I would like to follow up a little bit just on what like what is within your control, right, within OXXO and you've talked a couple of initiatives. So wanted to get a little bit more detail and granularity as to the initiatives that you're looking at, be it in-store or be it on the add app to achieve certain cost savings to really kind of like get maybe a little bit of a leaner structure in place within OXXO in Mexico to help drive that gross margin expansion also further down the line, because it feels like a lot of it is lost and even more than is actually lost than what is gained on the gross margin level. So maybe help us understand with a couple of ideas, initiatives, what you're looking for in order to drive that gross margin expansion throughout the income statement down to the EBITDA? Thank you.
Jose Antonio Fernandez Carbajal: Just one second, please. So yes, Ben, thank you. So first on the gross margin initiatives, I think there's a lot of things that we're doing on financial services that will increase our gross margin. We are still to get authorization to begin again Banorte. I think we already have Banco Azteca, but Banorte is set to come in as a new banking customer and those are initiatives that will help us drive our gross margins. We see opportunities for segmentation and adjusting the value proposition to increase or certain categories that have opportunities for better margins by adjusting the space and the variety and we see an opportunity there. And finally, we're expanding dramatically our retail media platform. Currently, we are promoting a little bit over 3,000 digital screens throughout our store networks and we're more than doubling that throughout the rest of the year and that brings incremental revenue very dramatically. We are also very excited about our expansion of our controlled environment stores, what we call the OXXO Nichos. Those are very profitable stores. They tend to mature very quickly. The investments required to open them are -- it's much smaller investment than the regular OXXO and almost we're going to be opening almost -- about a quarter of our new store network will be OXXO Nicos. So over 300 stores will be that and that will also help us on profitability. In terms of the overhead and opportunity, without giving you an estimate or a precise number, I would say there is -- we see -- we have some transformational initiatives that we're investing heavily on and those weighs on the overhead, but they're already bringing a lot of revenue. So we're not going to cut on those. Also, things on the foodservice investment, things on retail media, things on the high cash investments, those require a full set of talented teams, a full set of people that are working hard on creating those new avenues that will provide us a lot of value down the road. We're not cutting on those. But we do see opportunities on other sides of the overhead. Some on the regions by centralizing certain administrative processes that are still scattered around throughout the region. It's of proximity where I think we were investing heavily on developing teams and now that the local teams, especially in OXXO International are more fully owned in place, we can be leaner in the overhead in the central offices. So those are where I would say are the biggest opportunities. I think the number would be significant, but I would fail to give you a precise number as to how much savings will be there.
Martin Arias: Let me also comment on some numbers. We just drill down to OXXO Mexico and you the growth of selling expenses, you can explain all the growth that we had this quarter by inflation and expansion. And despite there being an increase in the minimum wage of 12%, if I'm not mistaken. The reality is through the initiatives that were implemented with regards to staffing, a much more dynamic staffing per store and taking into account peak periods, we were able to offset and keep the growth of the selling expenses at lower than you would have otherwise expected and very close to the sum of inflation and expansion.
Jose Antonio Fernandez Carbajal: Yeah. I think that's a relevant point, Ben, the fact that even though this bit is obviously super sensitive to top line and operating leverage is a key part of profitability, we have chosen to keep opening stores, not only to keep opening stores at the same pace of 1,100, 1,200 per year against a slightly -- a slowdown in the top line, but that we again front-loaded the openings. If you look at kind of the vis-a-vis last year, it wasn't quite the same number, but almost. So it's again going to be a year where a lot of the openings take place in the first half, all of which I think factors into the calculation that Martin just addressed in terms of just inflation plus that roughly 5% of the store base being added this year. It accounts for an important part of the expense increase.
Ben Theurer: Okay. Thank you.
Operator: We will take our next question from Bob Ford, Bank of America. Your line is open. Please go ahead.
Bob Ford: Hey, thank you so much. How should we think about the monetization of Spin and Spin Premia? I mean, you alluded generally to some opportunities with Premia in data. But more specifically, when you look at the financial services opportunity, how are you mapping that out right now for the intermediate term?
Martin Arias: Sure. The way the Spin team thinks about this, the financial services, first, financial services is quite a broad concept. And obviously, it includes increasingly providing the customer with the ability to execute on its transactions through our app. And that in itself then generates the data that gives you insight into their spending habits. In order to do that and to maximize the effectiveness of the application as a method for payment, you ideally want to take that outside of the store. And we're running already some tests with our, we call it Bella FEMSA, in one key city of putting out terminals and allowing the mom-and-pop stores to actually be able to accept payments. So there are mom-and-pop stores in the city where people can actually pay their electricity bill, for example. And other utilities and other -- and that platform then becomes a way where people can pay with a QR code. If you manage to create that ecosystem where you become the preferred payment system in Mexico, the optionality there of a series of ancillary businesses around that payment platform are enormous. One distinguishing factor which our payment platform will have, which other payment platforms in Mexico will not have is the loyalty component of the Premia points. And I've actually been in the stores when I've asked the owner of the store what does the Premia point bring to you? And they say it allows me to be competitive with OXXO believe it or not. It allows me to offer a similar loyalty point that OXXO offers. So they actually do not associate Spin with the actual OXXO store and they see this as a sort of advantage that allows them to be competitive relative to the other modeling pops. Once you create that ecosystem of payment platform with this distinguishing feature of loyalty, you then -- again, you're driving more data, more information, more engagement with the app. If people using the app two, three times a day to make all sorts of payments to transfer money not only amongst themselves locally, but to receive their remittances, to do their cash in, cash out in the OXXO store with the recycling machines that we're putting in. And then you have the ability to layer in then actual financial products and that includes taking deposits and making loans. As I've mentioned in previous calls, we do expect that over time we're going to upgrade, but now with basically our fintech license, we will upgrade it into a full banking license, which will provide us with greater flexibility. Obviously, we're at the very, very, very beginning phase of that and we will give everybody ample time and guidance as to how that is evolving. There is no need to have any concern over the next few years of us all of a sudden growing our balance sheet dramatically, because of a significant amount of lending and so on. It will be done in a very typical very slow, very cautious way, though we avoid some of the mistakes that have been made by other retailers in rolling out these types of financial products. So again, the theme and generally in the answer to your question is it's all about the ecosystem. It's not one initiative. It's integrating OXXO, it's going outside of OXXO. It's integrating a whole panoply of services and alternatives for the consumer for payment. That ecosystem then creates additional optionalities of all sorts of things as people engage ever more with the application. I hope that was helpful.
Bob Ford: I do. It makes sense. And then just as a follow up, separate question or a separate topic and that is ESA. The same-store sales in Mexico were particularly weak. I was wondering if you could just expand on what you're doing across price, assortment and service? And what's different at this time in terms of how you're changing the way you go-to-market I think? Jose said something about going with two formats which sounds a little bit more structural, but whatever you could say would be helpful.
Jose Antonio Fernandez Carbajal: No, again, I think obviously the numbers are weak, but they're weak particularly on traffic. We had a healthy ticket, but it's much more related to mix than to any price increases or anything. In the traffic sense, obviously, a big chunk of that had to do with the weather conditions and the calendar effects, but still are even isolating for those effects, then the traffic numbers are not where we want them to be and we're not happy at it. We do think there is a shift in the economic conditions in Mexico and there is an appetite to go back to certain value opportunities in our core categories. I think we should go back to providing value opportunities and affordability and returnable packaging in beer, in soft drinks and we see a -- we're already seeing an increase in traffic, but in tobacco just by incorporating a few value brands and we're not seeing a shift from a premium smokers to value smokers. It's just an incremental traffic. But I'm confident that the full strategy that we're putting in place towards value and affordability in our core categories, but also in some of our supermarket categories or groceries and stuff will increase our traffic. And then we will compensate on the gross margin front with all of the activities we're doing in promotional income and some of the financial services. So that's why I'm very confident that we will turn it around. But yeah, there's a lot of things under our control that we need to work hard on to increase the traffic numbers again.
Martin Arias: I would add, Bob, this one. I mean, we've seen this in the past, right, where -- when slowdown kind of presents itself and then the consumer begins to shift from larger purchases, less frequent larger purchases in bigger boxes, they privilege from a cash flow standpoint going more frequently to the store that is close to them. And so there have been several instances in the past where OXXO benefits actually from this change in habit when people say, well, I'm just going to go buy a smaller package that maybe on a per unit per ounce basis is not the most economic way to do it, but it allows me to manage my cash flow better. And then, of course, you bring in this we mentioned how -- again, this is something that happens every time, the CPGs and of course being so close to Coke FEMSA, so we know how good they are at this are coming up with more returnables, bigger presentations. In many ways, the SKUs that are well suited for the mom-and-pops are obviously SKUs that are well suited for us as well. And you notice how the changes in the mix and it doesn't happen by itself. We obviously work on it that you increase in sometimes you had abandoned returnability, because the consumer was not buying returnables anymore and then they start asking for them again and you obviously make sure that you can accommodate that. So I think that's another component of the confidence, which is there's really nothing unique to what we're seeing right now in terms of you look at 20-year series, we've obviously been in these types of situations before and OXXO is usually quite defensive and quite resilient. You start seeing, we've talked a little bit about this, things like spirits, the suppliers coming up with a special small 200 ml bottle basically for OXXO, right? And so you work within these partnerships and it ends up being in some cases -- I mean, certainly neutral is not even beneficial in some cases.
Bob Ford: Thank you. The question was about ITA and I should have said Health Mexico and I think you misunderstood me, but it was about ITA or FEMSA Health Mexico where the same-store sales number was down 11.5%.
Jose Antonio Fernandez Carbajal: Okay.
Bob Ford: FEMSA Health Mexico business, which is down 11.5% on a same-store basis.
Martin Arias: Sorry, we didn't get. Now we gave you another five minutes of comments from same store sales, which I'm sure everybody appreciates.
Jose Antonio Fernandez Carbajal: I would just say our Health Mexico operation is on a full turnaround mode. We had a business model that was set up in towards a cost structure that was sustainable when before the cost of -- the labor cost did not rise as dramatically and when the cost of labor started to expand, the first few 20% increases in minimum wage did not hit any of our businesses, because we were paying way above that even for lower salaries. But eventually, after five years or more of 20% minimum wage increases, it started to hit us. And our health business in Mexico did not have the enough scale to have a very aggressive price to compete with the value players and we had a cost structure that became to honor us. And so we are transforming the business model into a more mainstream and premium type of store format that is again giving us good results. But some of --many of our old legacy stores are just not profitable and we're doing a whole restructuring of that. And the good thing is that we've been able to do that successfully in Chile, in Ecuador and Colombia. We have a very strong business model where we have premium stores. If you go to Ecuador, we have the Fiveca store layout, which is a very good premium store layout. And we have the Sana Sana, which is our value store format and both businesses are growing dramatically. We have a similar model in Chile and in Colombia, we're just growing dramatically with all these changes in the regulatory framework. Colombia has huge opportunities for growth in Health. So in Mexico, we're a rethinking and refounding the whole business model. If you think about it, there's huge opportunities for that business to refound itself on a more omnichannel strategy to think -- to take advantage of the OXXO platform to deliver some of that OTC and even prescription drugs through the store network. So you will see a lot of initiatives of how we found that business model, it's going to take us a few months, even a couple of years to turn that business around.
Martin Arias: Yeah. And I think I would remind everyone, I mean, how that operation really came to be in terms of the three very regional acquisitions where we bought three small good brand locally operations and the effort to turn that into a national platform has been an uphill battle. And so it's always been a function of scale I think. And as Jose was saying, the two banner strategy that has served us well elsewhere is something that obviously we're testing now in Mexico. But really thinking a little bit outside the box in terms of how to compete in an industry where there are two or three big incumbents that we haven't quite been able to catch up to.
Bob Ford: Thank you so much.
Operator: We will take our next question from Ricardo Alves, Morgan Stanley. Your line is open. Please go ahead.
Ricardo Alves: Hello, everyone. Thanks for the call. I hope you can hear me. Thanks for the opportunity as well. I have a couple of follow ups in Mexico OXXO, but any in the US and Brazil as well. In Mexico. I think that the color on competition in one of the first questions was really helpful. So thanks for that. But I wanted to explore a little bit more the cannibalization. So competition with yourself, if you will. It's been really impressive the pace of growth of your stores. We have been highlighting that for a while. But I wanted to understand specifically from you why is this a major expansion? It has not been detrimental to your same store sales. I don't know, if perhaps you can share some metrics that you use to evaluate each OXXO that you're opening, the betting ratios that we've talked in the past or maybe a metrics that you use to assess the best spots to open new stores. I think that hearing from you why or where comes your conviction that there hasn't been a lot of cannibalization, it would be very helpful for the growth outlook in terms of new store openings in Mexico. In the US, very quickly, just a quick update on the expansion as we think about the inorganic side, if there's anything, I know you are limited into what you're able to comment, but qualitatively speaking, how you're thinking about the inorganic part of -- how key the inorganic part will be for your US expansion? And then as it pertains to your organic expansion, I'm very curious to hear any updates on the prepared food side, if there is any at this point, any updates in terms of targets that you have for prepared foods as a percentage of your total versus what you achieved in other regions like Mexico? And how could that be accretive to your margin? I think that this is the most interesting part of the ramp up that you're doing in the US outside of the conversion into OXXO stores, which you already mentioned. And then my last follow up would be on the Brazil side. I appreciate the comments about the slower pace of openings in Brazil, which I think I understand. But I think that the pace of growth in terms of top line is still surprised us to the upside. So let's say, if the shrinkage and employee turnover issues that you're facing, you resolve them before expected, how realistic would be for us to model FEMSA stepping up and speeding up the current growth scenario? Is there any bottleneck as it pertains to your partner in Brazil today that would make that impossible to execute or maybe the answer is not? So just assessing the possibility of speeding up Brazil, if these operational struggles are resolved. Thanks again.
Jose Antonio Fernandez Carbajal: No, thank you. Very good questions. I will start with the last one to be quick and I think we should spend more time on the cannibalization issue. But in Brazil, we are incredibly happy with the last few months in Brazil, not only on cost controls, on turnover and shrinkage, but also on top line. We are incredibly happy with the momentum we're seeing and we want to, I mean, just in the last -- if the year continues like that, we are very happy that it's going to turn out to be a great opportunity for us in Brazil. We need to -- we like the rate of expansion around 20% to 25% of our base. That was the rate of expansion of OXXO even at its highest number. So I think those are the numbers that you should expect going forward. About 20% to 25% of our store base is -- and I think Brazil should certainly continue to grow that for the foreseeable future. So you should see from 100 to 120 to 140, et cetera, and eventually get to a level of growth that's similar to Mexico in a decade or so. So we're happy with Brazil and we would continue. And with terms with our partner, as you know we are in a JV there. We have a great partner there, but we will continue to invest heavily behind our Brazil business. And if for any reasons or for any financial complications they do not follow through, we would come to an understanding with them. On the US, it's too early to talk about the food issue we're iterating a few formats. We are already launching the andatti coffee brand and we're seeing incredible results, which we are going to try some stores with Dona Tota and we have a partnership with a pizza chain that we are very excited to continue growing. It's a great opportunity for us to learn a category that we have not developed well in Mexico and I think huge opportunity. And we are trying a few other things in terms of fried food, et cetera, but it's too early. We would love to achieve up to 10% of our revenues of in-store sales on food service, but it's too early to tell yet how that will turn out. We need more months to iterate.
Martin Arias: If you allow me, I think in the US question, there was also an issue about organic versus inorganic growth.
Jose Antonio Fernandez Carbajal: I guess. And I would just add on inorganic, I think we are obsessively focused on getting the value proposition right. I think that exactly the wrong way to do it is try to be M&A driven without the value proposition right. I mean, if you see what's happening in the US, you guys follow it probably more than I do. The players that are winning share are the super regionals, these [indiscernible], this case, these quick trips. Those are the ones that are and they're not obsessed with the big M&A, they're obsessed of getting the value proposition right and expanding organically. That's what we want to do. Obviously, we eventually would look for a good M&A opportunity, if it comes in the regions that we think we could be a big consolidator, which is the Southwest and the Southeast without California and without Florida. We've been very public on that. But the most important thing is for us to have the right value proposition. We're very happy with what we're seeing in terms of excitement around the OXXO brand in West Texas, in Midland and Odessa, but it's too early to claim any type of victory or to expand, but our obsession would be organic growth with certain inorganic opportunities they present. And then I would just, on the cannibalization aspect, look, I came into OXXO in 2018 and the first project I had to work on was a big cannibalization project because we were concerned it was an electoral year, very similar to this one, 2018 right after the election. And there were a lot of concerns of traffic declines in the Piedras Negras and Monclova, all these northern cities in Mexico. And they're still our highest return on invested capital stores. We never stopped opening, we're still opening stores today and that's where we have much more density stores. There is cannibalization and we measure it. Last year of the 1,200 or more than 1,200 stores that we opened, about 600 of them had some type had some type of cannibalization effect around the stores in the vicinity. Having said that, that is we seen the margin of we feel okay with it, the return on investments and capital is still way, way above what that gives us confidence that some level of cannibalization is tolerable. As we move more into OXXO Niche and OXXO [indiscernible], we are seeing much less cannibalization and that's a huge opportunity for us to continue growing. We love that format and we will continue to expand it. And I think that will limit a little bit of the cannibalization impact. We are incentivizing our regions and our expansion to focus on stores that limit cannibalization as much as possible and that increase return on invested capital as much as possible. So we prioritize quality over quantity. But with that, we still see an opportunity to grow above I would say above 1,000 stores per year for the foreseeable future. And I think that will continue for at least several years ahead.
Martin Arias: I think there was also embedded in your question of a broader question about foodservice in Mexico. And the reality is we have high expectations and high hopes for foodservice in Mexico. When you look at places like the US, where food is 20% to 25% in the leading players of sales, when you look at places like Japan, which over 50% of fresh food, there is definitely an enormous amount of room to grow for FEMSA. Now Mexico is a different place. It's in a good and a bad way. And the bad way is it has significantly broader informal food offering throughout Mexico. So the taco stand at every corner, the food cards and so on, all those are potential competitors. On the good side, Mexicans have many meal occasions. They have a breakfast, they have the famous mid-morning snack, they have lunch, then they have another mid-afternoon snack and then they have dinner. And each one of those eating occasions has a variety of breads, cookies, tortas, it really is a very wide variety of things. And so there are we believe there's plenty of opportunity here. We definitely have to do better. We don't have a specific target. There is an ongoing debate about in how many of the stores that we have or ultimately we have a food offering. And there's a general consensus, it's not going to be in all 24,000 stores. In the home occasion or the home segment of stores that are really meant to cover daily repositioning needs, probably you won't have food, but definitely you're going to have it in the downtown high traffic, office related or school related or near hospital related type stores. So that is still a work in progress and we don't have any clear targets to share with you at the current times.
Jose Antonio Fernandez Carbajal: I would just add, Ricardo, the analytical data that we've been exploring on cannibalization tells us that it's no more than 20 to 30 basis points of same-store sales that it affects. So I mean, we want it to be as near as zero as possible. But within that range, we are okay with continue to expand given our high ROICs or marginal high ROICs in our stores.
Ricardo Alves: That was 20 to 30 bps, right? Sorry.
Jose Antonio Fernandez Carbajal: Yeah. bps.
Ricardo Alves: Got it. Thank you. Thank you so much, everybody. Thanks for answering all the questions and the questions within the questions. Appreciate that.
Juan Fonseca: Now you guys are doing two questions in one. We're being very generous here, but now keep it.
Ricardo Alves: Apologies. Apologies Juan.
Juan Fonseca: No worries. Tiago started at the very beginning setting the tone. So that's okay.
Operator: We will take our next question from Alvaro Garcia, BTG. Your line is open. Please go ahead.
Alvaro Garcia: Hi, gentlemen, thanks for…
Jose Antonio Fernandez Carbajal: Hi, Alvaro.
Alvaro Garcia: I was wondering if you could give us more color on OXXO Nicos on what it is exactly and why you think it might have higher ROICs? And then to a follow up on the pilot in Puebla between Spain and Juntos or Spin and cough. So what are some of the early learnings and what are the early challenges you're seeing in sort of really firing up that flywheel? Thank you.
Jose Antonio Fernandez Carbajal: Okay. So, on the OXXO Nico, I will give you more color. On average, an OXXO Nico is imagine we get a call from a factory, a big factory here in Monterrey and they tell us, hey, I have 2,000 workers here and our cafeteria is not enough and they are out of town, they want to do financial services, can you go and put one? And I actually did one shifting the OXXO in the Kia factory and they have -- that's a huge -- and they already have over two OXXOs in that Kia in the Korean auto manufacturer there. And the way it works is usually they are asking for us to come in. So rents tend to be sometimes negative and then pay tend to pay our electricity bills and so you can imagine. And then most of the installation and the cost of the capex requirement is already there. So it's very friendly economics. They tend to mature very quickly, because it's already a controlled environment. People know the store and they love it. I mean they see the workers see it as a benefit. Obviously, there's some SKU control, so that works against it. So they tend to sell less. They would usually do not sell alcohol, some of them do not allow bubble gum or stuff like that. There's some SKU controls, there's some hour shifts. But given all -- even taking all that into consideration, they sell less, but their investment cost is much less. And so they tend to create a value expand expansion because people that were usually not getting a snack, get an extra snack for the day, get their whatever other products. So that's an OXXO Nico and they have been phenomenal for us. And obviously, we have the network effect that most people want to have an there OXXO, because it allows them to connect to financial services and send money to their home. So we tend to have a much higher market share in OXXO Nico concept than what we have in the street. There's more type of OXXO, there's in universities, there's in buildings, there's the OXXO Smart, but I would say on average, that's the gist of it.
Martin Arias: On your second question, with regards to the earnings on Spin, one, in no particular order of priority, the relationship of the mom-and-pop with the sales force of Coca-Cola FEMSA is extremely valuable. That doesn't mean they have to participate in the execution of the actual sale and implementation of the platform. But the relationship with them, the simple introduction by the sales force of Coca-Cola FEMSA is very valuable to getting your foot in the door with a mountain and pop. Number two, Premia points do seem to be a differentiating factor while relative to other payment platforms that don't have the same thing. And we are noticing in the stores people sometimes have two to three terminals. So they haven't yet committed to any one terminal. So they will have Mercado Libre terminal and they will have the Santander product and they will have a third one and they will pick and choose which terminal they use depending on the value proposition. So you need to have a value proposition, which basically can compete in all the different elements with all the different platforms. The next thing we've learned is points of sale mom-and-pops value the cash flow. They are a CFO's dream in how they understand their cash flow needs and managing their cash cycle. It really is spectacular to see. And for example, you need to move to crediting balances almost immediately for them as opposed to doing it once a day or doing it twice a day. If you're not doing that for them, you will not be able to maintain competitiveness over time. So a lot of these smaller fintechs whose model was based on a float for two, three days of the money that was coming in that's not going to work and that's not going to cut it. There is definitely kinks to work out in terms of how you allow that mom-and-pop to use the cash flow for buying points and for crediting and crediting the payment of bills that they received. That's a bottleneck that needs to be worked out and nobody really figured it out. And finally, training the mom-and-pop owner is fundamental. You can just see the difference between a mom-and-pop where the owner of the store understands the value that this brings to them and how they engage with the consumer to remind the consumer that they have -- they give points, they remind the consumer to consume points and there was one lady in particular that I met who was just amazing at how she did. She has a balance of the points that she receives and the points that she gives out. So she's not buying any points. She is net-net zero because she manages constantly the points that she receives versus then making sure she uses those points to generate revenue for our store. So those are the learnings we're having and we purposely kept the experiment in one city and relatively small so that we learn all those things before we do massive rollouts in either any city or in any region.
Alvaro Garcia: Awesome. Thanks for the color.
Jose Antonio Fernandez Carbajal: Thank you, Alvaro.
Operator: We will take our next question from Hector Maya, Scotiabank. Your line is open. Please go ahead.
Hector Maya: Thank you very much, Jose Antonio, Martin, Juan, for taking my questions. Just if you could please expand on the initiatives for more affordable brands at OXXO just to understand the potential extent of the push for value brands and affordability and to know if this could eventually translate into a longer term strategy, maybe also focusing more on private label or if this is more strategic in short term and more focused on decisive product presentations due to the current macro economy.
Jose Antonio Fernandez Carbajal: Great, Hector. So I would say, obviously, private label would play a part in certain -- especially in our groceries with our cooking oil, posada, we have our beads snacking and those will play a part. But I would say the biggest contributors are things we're working on with our major suppliers in, hey, let's launch either a value brand together with, we're doing it with tobacco with quite impressive results now for this month. We're not seeing shift again from their premium brands to their local brands or the value brands and we're trying to privilege that. They have to be marginal expansion in traffic and gross margin even if it's a smaller gross margin that it helps us with incremental revenue. And then for beer and soft drinks, we are doing two types of strategies. One is coming back to returnable packaging. Returnable packaging is a complex operation for us in the convenience store. It's messy, it saturates our warehouse, but we know how to do it and we know how to do it well. And we're going back to that with our partners and with our beer partners and that's going to play a major plan. Then I would say we are doing some things with andatti, our coffee offering, some promotions on andatti, get some extra a small piece of bread or a small snack or something when you buy two coffees and things and we're seeing good opportunities there and we're rolling out more promotions there. What I would say those are the main ones. Juan mentioned the mini spirit bottles that we launched back actually in 2018, we're launching them again. I mean, they've been already there, but we're launching new flavors, new variety and they tend to work very well. We're also doing some cookie assortments and some snacks that on the value and all of those things will help us. I would say we have an opportunity to expand on grocery as Juan mentioned. We tend to become a very interesting point of interest for the value conscious consumer that values smaller packages, more frequent visits to the store with the cash on hand and we want to remind everyone that we are a great player for the [indiscernible] promotions that we executed in the past with a lot of success that I think we need to showcase again. So all those things are being launched as we speak and we'll get some results.
Hector Maya: Got it. Thank you. And also quickly with what you are seeing in the US and your view on adapting the value proposition, how much time do you think it could take you to say, okay, we got it right now. We are ready to push for much stronger organic growth with the right assortment of prepared food. So could we consider that this could happen maybe in the next two years or should it be more like five years from now? I'm just feeling on how you are thinking about.
Jose Antonio Fernandez Carbajal: Yes, I was going to tell you, I'm not ready to give you an update, but I think within the next two years, we should be able to have a winning value proposition given what we are seeing in the momentum in West Texas with OXXO given that we get a lot of feedback from the consumer of what they want. What I do think we need to be not only better than the rest, but also unique and unique means it's a tough thing to nail. I mean, there's very good players out there, but I think there's very -- it's very easy to go to the stores, learn what's working and copy that. What's going to really make us win is something that only OXXO can deliver and that really drives traffic away from the main, big players and from the big regionals that I mentioned.
Hector Maya: Okay. Thank you very much. Thank you.
Operator: We will take our next question from Ulises Argote, Santander. Your line is open. Please go ahead.
Ulises Argote: Thank you very much. Hi, Jose, Martin, Juan. Thanks for the added insights as always, that's very appreciated. I just wanted to see if you could provide some more color into the rebranding there of DK, OXXO in the US, I know it's super, super early and Jose, you've made some comments already on this. But any readings or maybe any expectations into sales and profitability lift on the rebranding and the fine tuning of offerings you're doing there on the value proposition? And also is there any timeline you guys are targeting and maybe should we expect to see a 100% rebranding of the stores or what's the strategy there? Thank you so much.
Jose Antonio Fernandez Carbajal: It's too soon to tell. They've been surprising us on the upside. The increase in sales and traffic has been significant, I would say, even in the double-digits for the first store. We just rebranded another 14 and we are seeing very similar increases. There's probably a honeymoon phase and they should stabilize. So again, it's too soon to tell. But yeah, eventually, we would convert if not all the stores, 99%, I mean, maybe there's a couple of them that are either on the issue of probably closing and we're also going to open a few stores. We're planning to open a few stores even this year to try out. But again, it's on the -- it's below 10 and we're just going to see how the momentum of it works and we're trying different concepts. We're doing one store more geared stores grocery and like a blend of a dollar store with a convenience stores. We're doing one much more geared towards coffee offering, because we're willing to take those experiments, because we really want to learn what works and what we can roll out nationally. So we're going to take our time. But so far, we're very happy within the OXXO brand in West Texas. It's been a very happy surprise and we see a lot of excitement for the brand in the region.
Ulises Argote: Perfect. That's great to hear. Thank you very much.
Operator: We will take our next question from Froylan Mendez, JP Morgan. Your line is open. Please go ahead.
Froylan Mendez: Hello, guys. Thank you very much for -- thank you very much for taking my question. I want to dig a little bit more into Bara given the opening of the new distribution center. Should we expect the pace of openings to accelerate in coming years, even this or the next? And what is the long-term store size that you see for this format? And also in the same route, what was your intake on how the format performed during this quarter specifically what you saw loosening in OXXO? Was this something that was captured by the Bara format? What was your take on the down trade that we're seeing in Mexico? Thank you, guys.
Jose Antonio Fernandez Carbajal: So Bara keeps keeps doing great. We did see a slower momentum from the fourth quarter of last year where we were growing high on the teens on the same-store sales basis and we saw single store single growth or single digits. But still Bara is doing incredibly well. The stores are -- the new stores are performing even better and we see a huge opportunity ahead. Yes, we want to accelerate the expansion. The reason we are not expanding as fast as we want is because we are working hard internally on decoupling from OXXO. It's a concept that's still on the same LLC or equivalent of OXXO, the same systems. So we're changing all that and that's taking us some time to do that. But we are using -- basically we're having to invest in a big set of teams to have the new Bara in place and that will allow us to basically double our rate of expansion from 230 that we're planning for this year to more than double that in the next couple of years. We do think there's room for many thousands of Baras. I wouldn't give you a number -- a precise number, but there's going to be thousands of Baras in Mexico and that segment is gaining a lot of momentum and there's a lot of people that are understanding the great value that the discount stores bring and we have a huge opportunity, because we know what works. Basically, we've done a lot of OXXO in regions where Bara would have been successful. And are learning a lot how the Bara concept can bring a lot of value in those neighborhoods. So we're very excited from what we're seeing and we're just getting -- our stores keep getting better and better and performing better and better. So, yeah, the sky is a limit.
Martin Arias: And I would add, Froy, on the side. I mean, we've talked a little bit about private label and how the mix of private label at Bara is still lower than we would like. We're probably somewhere in the 20s -- approaching 30s and some of our competitors are higher than that. And so what we're seeing is having some really good conversations with potential partners on the private label side, large corporations from different parts of the world that look at the opportunity for Bara and say, I'm happy to accompany you. I'll build a plan for you if we can -- we have the companies that we can work together for the long term. So again, I think scale is a beautiful thing and we're getting a little bit bigger. And of course, there's the overall FEMSA umbrella, if you will, and the OXXO umbrella that gives potential partners the confidence that we're going to do what we say we're going to do and things are moving into place quite nicely.
Froylan Mendez: Thank you very much. Appreciate it.
Operator: We will take our next question from Rodrigo Alcantara, UBS. Your line is open. Please go ahead.
Rodrigo Alcantara: Hi, thanks for taking my question, one, Martin. Just one I promise. Just in a context of another store having seven employees per store, right, three it's a bit strong, it's a difficult for me to understand how much more lean could the staff, the stores, the labor structure of a store could get. So just curious if you can elaborate a bit more here on precisely on these initiatives of having a more efficient staff per store. And just for the sake of modeling, if you can comment on when you started to deploy these initiatives kind of like the ramp up of the initiatives just for us to kind of have an idea of when we could see the implications on margins already reflected. That would be my question. Thank you very much.
Jose Antonio Fernandez Carbajal: So we've been working a lot in the number of stores -- number of people per store and we are already below the 7% threshold. Actually, we were at 6.7 last year and we're aiming for 6.5 this year. And as you can imagine at our scale going from 6.7% to 6.5%, it's a huge endeavor without damaging the value proposition. And that is giving you that some stores are going all the way to 10 or 12 people per store. Some high traffic stores have much more people and some stores are working with five people and we are being much more precise on our analysis. We used to do a number of transactions and pretty much that's it. Now if it has a lot of coffee and coffee requires a lot of cleaning and we may put more people or if there is a lot of financial services, they may require a little bit more people. Sometimes they require in regions like Oaxaca and Chapas, we need people with banking experience that have been bank sellers because they need to count bills very quickly. And so we've been keen to specialize much more in the level of people and the type of people that we can hire. And we have an initiative we call Trejo that is basically using all these machine learning and analytics to be much more precise on the amount of people that the store needs to have. Where can we get? I mean, our ambitions is let's get it as low as possible without harming at all the value proposition. If that is 6.3 or 6.2 I think it's doable, but it's going to take us a while to get there. Obviously, the retail landscape is changing and there's more-and-more tools for automation and some of them are still decades away in this part of the world, but some of them are not and we will use -- and we're leaning aggressively on understanding how machine learning, how even LLMs can help us optimize not only the store, but the supervisory part of the role and get to more stores per supervisor and we see an opportunity there as well to do some -- gain some scale there. And I think we will continue to monitor that number and get leaner and leaner on that front, not necessarily requiring to less people because we're still opening enough stores. So we will be able to accommodate hopefully all of our good performers and all of our good supervisors. We see still a lot of opportunity for growth and for becoming millionaire.
Martin Arias: And I think another thing, Rodrigo, maybe we've talked about this in the past a little bit, but it involves, as you might imagine, certainly the number of people, but also things like what time do they start their shift. So going from the kind of the basic three shifts, each shift comes in at the same time to a much more dynamic well one person can come in at X hour and then the other person comes in three, four hours later because that's what the numbers tell us, they're not needed at the same time. So again something that sounds relatively straightforward, but you need the data to tell you how to do it. And obviously, we're assuming there are going to be more minimum wage increases in the coming years. So this is something that not only addresses what's already happening, but we need to be ready for the coming years where this probably will continue.
Rodrigo Alcantara: That was super helpful, Jose, Juan. Thanks for the color on that.
Jose Antonio Fernandez Carbajal: Thank you, Rodrigo.
Operator: We have no further questions in the queue. So I will hand you back to your host for closing remarks.
Juan Fonseca: Thanks, everyone, for joining. Obviously, you know where to find us. If you have follow-ups, you can get in touch with my team and myself any time you need. Otherwise, just have a great week. Thank you.
Operator: Thank you for joining today's call. You may now disconnect.